Operator: Greetings, and welcome to the Crane Company First Quarter 2023 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Jason Feldman, Investor Relations for Crane Company. Thank you. You may begin. 
Jason Feldman: Thank you, operator, and good day, everyone. Welcome to our first quarter 2023 earnings release conference call. I'm Jason Feldman, Vice President of Treasury and Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer; and Rich Maue, our Executive Vice President and Chief Financial Officer. We will start off our call with a few prepared remarks, after which we will respond to questions. 
 Just a reminder that the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also in our annual report, Form 10-K and subsequent filings pertaining to forward-looking statements. Also during the call, we will be using some non-GAAP numbers, which are reconciled to the comparable GAAP numbers and tables at the end of our press release and the accompanying slide presentation, both of which are available on our website at www.craneco.com in the Investor Relations section. Now let me turn the call over to Max. 
Max Mitchell: Thank you, Jason, and good morning, everyone. Thanks for joining the call today. While here we are, the separation is complete, and an entirely new beginning for Crane Company. We last gave you an update on our March 9 Investor Day as we approached our successful separation on April 3, followed by the honor of my representing our global team by ringing the opening bell of the New York Stock Exchange on the 4th. It seems just like yesterday that we laid out the case for separation in March of 2022, but here we are 14 months later, having successfully executed on schedule. 
 The separation was the logical next step in our multi-decade journey from a holding company to an integrated operating company and now into 2 separate strong and focused independent businesses, technology leaders, each well positioned to outperform in its respective markets and each equipped with strong management teams to drive continued success. I'm incredibly proud of how the corporate organization executed on the separation on schedule and according to plan. 
 My sincere thanks to the entire corporate team for their incredible efforts over the last year and now moving into post-separation support. And a quick reminder on why we believe Crane Company is such an exciting opportunity today. We have delivered decades of consistent and differentiated execution. We have an accelerating growth profile after years of relentless investment in our technology road maps, each aligned with key secular growth drivers in our end markets. 
 We have a long track record of creating value through acquisitions and capital deployment more broadly. And we have a very strong balance sheet today, giving us significant financial flexibility. Now that the separation is complete, Crane Company is a streamlined and more focused leading technology business. The market's reaction since we announced the separation in March of last year, validates our strategy with substantial value already unlocked, and we are confident that even more significant value creation lies ahead. 
 The new Crane Company, as we described on Investor Day, has about $2 billion in sales and $335 million in adjusted EBITDA this year. A 4% to 6% long-term core sales growth rate from resilient and durable businesses that derive about 40% of strategic growth platform sales from the aftermarket with substantial operating leverage on top of already solid margins today, and that should lead to double-digit average annual core profit growth with potential upside from capital deployment. 
 And starting with net debt to EBITDA at about 0.2x, the capital deployment opportunity is significant. Turning to the first quarter. We had a great start to the year, positioning us extremely well for the coming quarters and years ahead. As you saw in our press release last night, we reported adjusted EPS of $1.25, 8% core sales growth. A record 18.5% adjusted operating margin, and we raised the midpoint of our adjusted EPS guidance by $0.20 to a range of $3.60 to $3.90, and we feel very confident in this outlook for the year. 
 We delivered those results in an environment that hasn't changed much since the second half of 2022. We still see continued solid demand across most end markets, but we continue to remain guarded, watching carefully for any signs of softening, particularly in our shorter cycle businesses. From a cost and inflation perspective, as you can see from our continued margin strength, we have been appropriately assertive with pricing actions across all of our businesses, and we continue to fully offset the impact of inflation on both a dollar and margin basis. 
 Overall, we continue to execute extremely well, and we have proven that we can operate successfully in a wide range of market conditions. At Aerospace & Electronics, demand remains very strong. We have seen no slowdown and sales are still somewhat constrained by the supply chain, particularly around active and passive electronic components needed for printed circuit boards. The supply chain status is generally unchanged compared to last quarter to mildly improving in some areas. 
 We do expect supply chain constraints to ease over the course of the year, but at a very gradual and measured pace. We remain very comfortable with our forecasted outlook for this business. Over the last 3 weeks, I've visited nearly all of our Aerospace and Electronics sites with Alex Alcala and J Higgs to check in on the fantastic progress our teams continue to drive. 
 Just a few examples of what we saw include our landing brake control solution that continues to track to plan on the new F-16 brake control upgrade design that requires unique packaging requirements to meet the needs of an existing space envelope, and our technologists have clearly differentiated themselves from the competition by developing an innovative solution for that challenge while delivering on significant performance improvement. And the factory is progressing with readiness plans to ramp up to immediate full rate production in 2026 with annual sales of roughly $30 million in the first year and an unexpected life -- program life of 5 to 7 years. 
 In our Modular Power business, our team continues to win in new space applications, while also continuing to make progress on our development road map for a complete family of power conversion products with wide input voltage ranges across high and low power families and using modular architecture across multiple standards and features focused on military and space applications with radiation hardened and high reliability designs. 
 This business has a target to capture more than $125 million in cumulative sales over the next decade with these newer products. And in the interim, we're driving enhanced channel management to take share with our existing product offerings. In our Defense high-power solution, we also reviewed our technology road maps and development as well as the facility readiness plans, which are on track to support the significant ramp up in support of the 4 large AESA radar wins we have secured to date. 
 All ramping up over the next few years as well as significant traction and progress working on a funnel of new opportunities, many related to defense, electric vehicle readiness where we already have a substantial presence on demonstrator programs and prototypes, winning our seventh such demonstrator this week with a 120-kilowatt bidirectional DC to DC converter. 
 In our Fluid Management solution, we continue to benefit from steadily increasing aftermarket demand for pump and fuel flow transmitter products used on commercial jet engines and airframes. And we continue to successfully progress our many technology demonstrator programs for the sixth-generation fighter fuel, coolant and lubrication systems as well as for platforms focusing on demonstrating hybrid and pure electric propulsion. 
 We are also preparing our site for the expected higher volume of repair activity on GTF pumps related to the A320neo engine overhauls ramping up over the next several years. And in our Microwave business, we reviewed our continued strong progress on existing program wins with more complex integrated microwave assemblies at higher increasing demanding frequencies as well as our ramp-up plans for increased demand from the Patriot missile program. 
 Just an incredible and exciting set of visits with our teams. The outstanding passion they have for the business and the technology investments we continue to drive supports our 7% to 9% growth rate in this business moving forward. At Process Flow Technologies, we are seeing some moderation in order rates, as expected and consistent with what we communicated in March. Core orders still increased about 4% in the first quarter, and we have a very strong backlog, but those order rates have decelerated from double-digit rates in the second half of last year. 
 Most of the slowing has been in the U.K. and Europe with other regions remaining fairly solid. But the growth story is no different at Process Flow Technologies where we've continued to invest for the future with new product introductions, released at a record pace and with significantly higher margins. New product vitality metrics continue to improve year after year and an extremely strong position in core target markets of chemical, pharmaceutical, water, wastewater and industrial automation. 
 And those key markets now comprise nearly 2/3 of the business with accelerating new product development, focused on increasing exposure to these target markets and giving us high confidence in the 3% to 5% growth profile through the cycle and the substantial opportunity to further expand margins. A lot of exciting developments in this business as well. We are outperforming the market and gaining share, driven by new product innovations. 
 For example, you may have seen the press release issued yesterday morning by Chart Industries, highlighting a new cryogenic valve for liquid hydrogen applications that we introduced and the Chart tested and validated. This is just another step in building the hydrogen business we discussed at this year's Investor Day event. And we are in the process of launching 5 additional new product lines over the next 12 months, all targeting a market that is growing at more than 15% annually. 
 We are already working closely with several key customers to introduce these products to help solve our customers' ongoing performance challenges. In wastewater, we continue to see adoption of our new high-efficiency NV motor platform, and we are on track to triple NV sales this year with further upside in 2024 after we launch a larger size range up to 75 horsepower late this year, further strengthening our position in this $1 billion served market. 
 And in addition to new products, we are gaining traction with our front-end investments, leveraging our improved product portfolio to upgrade our distribution network into municipal and commercial markets. In the chemical space, we have great momentum with orders up in the double digits with growth led by our portfolio of new valve and specialty pipe solutions that differentiated sealing technology to solve reliability challenges in corrosive, abrasive, toxic and hazardous environments. 
 Our innovative L-TORQ product has just been launched, and it is already installed by key customers in the Americas and Asia. Our recently launched FK-TrieX valve has also continued to gain traction with our project funnel doubling so far this year, given the valve's unique ability to solve leakage and flow problems in severe service applications. In our Pharmaceutical business, we continue to strengthen our position by expanding our product portfolio to solve leakage and reliability problems in process media, steam sterilized applications and bioprocessing. 
 New products launched this year will include a new hygienic ball valve with -- and an expanding operated diaphragms, targeting the high-growth bioprocessing segment and delivering accretive margins, just continued excellent momentum in process flow technologies. And in Engineered Materials, really no change to our view for the year. So again, off to a fantastic start post separation and poised to drive accelerated growth, margin expansion with optionality from our balance sheet strength. Let me turn the call over now to Rich for some more specifics on the quarter. 
Richard Maue: Thank you, Max, and good morning, everybody. Overall, an outstanding quarter with 8% core sales growth, driving 27% adjusted operating profit growth and once again achieving record adjusted margins at 18.5% and improved 460 basis points compared to last year and driven by excellent performance across all businesses. 
 I will start off with segment comments that will compare the first quarter of 2023 to 2022, excluding special items, as outlined in our press release and slide presentation. At Aerospace & Electronics, first quarter sales were very strong, increasing 15% compared to last year to $180 million, and segment margins of 20.9%, increasing 300 basis points compared to last year, primarily reflecting strong leverage on the higher volumes as well as strong pricing and productivity gains. Despite the impressive increase in core sales growth, we, along with the rest of the aerospace industry still remains somewhat capacity constrained due to continued supply chain issues as we properly planned for in our guidance. 
 The combination of supply chain constraints and strong demand drove our backlog up another 27% to $645 million. In the quarter, total aftermarket sales increased 21%, with commercial aftermarket up 32% and military aftermarket down 5% on program timing. And OE sales increased 12% in the quarter with 17% in commercial and 8% in military. 
 At Process Flow Technologies, sales of $271 million decreased 13%, driven by the 20% impact from the divestiture of Crane Supply in May of last year and a 3% impact from unfavorable foreign exchange. Core growth for Process Flow Technologies was very strong at 10% and was broad-based across the segment. Record adjusted operating margins of 23.4% increased 710 basis points from last year, primarily reflecting strong pricing, leverage on the higher volumes and delivering on productivity gains. 
 Continued excellent execution by our teams in all areas and supporting an 80 basis point improvement to our full year margin guidance, which is now 18%. Compared to the prior year, core foreign exchange neutral backlog increased 9% and FX-neutral orders increased 4% sequentially compared to the fourth quarter, FX-neutral backlog decreased 2% with FX-neutral orders up 1%. 
 At Engineered Materials, sales of $62 million decreased 12% compared to the prior year as expected. Operating profit margins decreased 70 basis points to a solid 18.3%, driven by lower volumes but an impressive deleverage rate. Transportation and Building Products markets remained strong, offset by RV, which declined in line with industry production rates. 
 Moving on to total company results. In the first quarter, adjusted free cash flow was negative $69 million, consistent with normal seasonality. We are emerging from the separation with a strong balance sheet and robust free cash flow generation. And our post-separation capital structure is the same as when we described it earlier this year. After separation-related transactions, Crane Company's only debt was a $300 million prepayable term loan with cash on hand of approximately $235 million. 
 We also have a new 5-year $500 million revolving credit facility that is currently undrawn. Very little net debt. We already repaid $35 million on our term loan earlier this month and a lot of financial flexibility with more than $1 billion in M&A capacity today and reaching as much as $4 billion by 2028. While this is more financial flexibility than we have had historically, our capital allocation strategy is unchanged. 
 We will deploy our capital with the same strict financial and strategic discipline that we have always employed, prioritizing internal investments for growth followed by M&A and returns to shareholders. Of course, the timing of acquisitions isn't predictable in both actionability and market conditions can change quickly. However, given our robust pipeline of potential opportunities along with our solid organic growth profile, our internal goal would roughly double the size of our growth platforms over the next 5 years. 
 Our teams are motivated and reenergized by our future post separation, and we look forward to delivering on this vision. We also have a commitment to return cash to our shareholders. As outlined in our press release last night, our initial dividend for Crane Company will be $0.72 per share annually or $0.18 per share quarterly, which reflects a dividend payout ratio of approximately 20%. 
 We do expect to grow the dividend in line with earnings to provide a stable and attractive return to our shareholders while ensuring that we have the capital flexibility to continue our internal investments and pursue acquisitions. Now turning to our 2023 guidance. I gave a lot of detail on our guidance call in January. And for the benefit of my voice and your ears today, I'm just going to highlight the changes. For modeling purposes, I would point investors to the detail in the fourth quarter earnings script as well as the details we provided at Investor Day. 
 We now expect 2023 sales to increase approximately 5%, up from the prior guidance of 3%. That's driven by 1 point of higher core sales growth, along with foreign exchange that is now neutral compared to last year rather than the 1 point headwind we originally had in our guidance. Segment details as provided in the slides. But while we took up core sales expectations for all 3 segments, Process Flow Technologies had the largest increase given the very strong first quarter results. 
 We expect total company adjusted segment margins of 18%, up 60 basis points from our prior view, again, led by Process Flow Technologies, new expectation for higher growth and continued solid execution. Overall, excellent operating leverage across the businesses. And the only other notable change was corporate expense, now expected to be $70 million for the full year. While there are a few components of this change, the biggest driver is higher compensation expense given our revised outlook.
 Overall, we expect adjusted EPS of $3.60 to $3.90 with adjusted EBITDA of $335 million. So a great quarter and excellent start to the year. We are extremely well positioned today. Record margins, leveraging long-term future 4% to 6% core growth at 35% to 40% and an execution track record that demonstrates we can deliver in any environment and a very strong balance sheet and free cash generation to support value-creating capital deployment. Operator, we are now ready to take our first question. 
Operator: [Operator Instructions] Our first question comes from the line of Damian Karas with UBS. 
Damian Karas: Max, Rich and Jason. Congrats on a really strong start to the year. I want to start by asking you about the PFT margins and the big step up to 23.4%. You basically rip past your long-term target. So I'm wondering if there was anything one-off or nonrepeatable in nature that happened in the first quarter. And just looking at the 18% guidance for the year, I mean, it basically suggests that you go from that 23% down to more like 16% or 17%. So I'm wondering what will drive that margin sequential decline through year-end. 
Richard Maue: Yes. So thanks, Damian. Yes, look, we obviously are really pleased with the margin performance overall, modestly surprised to the upside, I would say, which is why we took up the target by 80 basis points. Much of the outperformance was timing. Look, March was particularly strong for us. Supply chain cooperated, and we were able to get more volumes out than we expected. So we had a really solid March. 
 I would also point out that we didn't spend at the levels that we planned, still a challenging environment to get the right people on board in the quarter. And I would add, planned investments for growth also are going to increase as we look through the balance of the year. If you go back to our Investor Day, and we've said this a number of times, including in our prepared remarks, we do expect to see short-cycle slowing in PFT as we move through the year. 
 In March, I would say, things continue to be strong. But in April, as expected, we did start to see that short cycle begin to slow. So with that lower volume level, we would expect obviously less accretion. Mix was a bit of a tailwind in the quarter for sure. And in the first quarter, we had a little bit of incremental benefit from inventory revaluation, just given the highly inflationary environment that we're finding ourselves in. 
 So those will be the majority of the puts and takes. I would add that we're being a little bit cautious here, just given the uncertainty in the environment. It's possible we do better than we expect or than what we've outlined, but we really want to see a couple of quarters here before we get ahead of ourselves. 
Max Mitchell: Let me add a little bit, Damian, just to be repetitive to what Rich said, but just say there was no one-off. I would say that -- it's just -- everything kind of aligned to come in very, very strongly here. As Rich mentioned, supply chain and our ability to get product out the door, the mix was favorable. The volume was favorable. Pricing was reading through. 
 The investments that Rich talked about, we've talked about building this hydrogen business as an example. There's a lot of hires that we have baked into the first quarter that were going to take place that we're just having some challenges getting everyone aligned up in that business and some of our other growth initiatives because we really set ourselves up for successful long term to invest for growth, invest in our teams. 
 And in this environment of hiring and finding the right people, it's taking a little longer than anticipated. That read through favorably. So that's going to reverse in the back half of the year. And then, as Rich mentioned, we still feel firmly that we've got the markets right here in terms of how we're predicting a gradual decline year-over-year and sequentially as the back half of the year from order rates. 
 You're seeing some of this -- I don't want to call anybody out, but if you look at some of the major chemical providers today, they've talked about it this quarter. It's just a bit of a slowing that's taking place. And I think we've properly expected it and are planning for it. And that's what we think is going to take place through the balance of the year. So you won't quite see that same level of margin performance as we move forward. 
Damian Karas: Understood. And switching gears to A&E. So you raised the guide by 1 point just something like $6 million in sales. So I want to ask you about the $50 million of unmet demand. What's your visibility and updated thinking around that? And does that still represent upside to your A&E guidance at this point? 
Max Mitchell: Yes. The $50 million -- it's not like there's a $50 million backlog was sitting there that we can just clearly identify. This is an average that we're just saying if we had improvement in supply chain, we would be able to clear. And right now, that is really not -- we're not seeing the significant improvement in the supply chain. We planned for it this way. 
 We had hoped that it would be better. But quite honestly, in the active and passive components, it's not worsening by any stretch. So I want to make sure that everyone clearly understands it is not worsening. Lead times may be slightly improving, but it's the one-off components that we continue to have to chase. There's surprises here or there in terms of supply-based rescheduling, a printed circuit board waiting on one component. We are active. 
 This has been a couple of years now coming out of COVID, where our teams are doing a phenomenal job scanning the globe, finding components, helping subsuppliers with their supply chain. That is the norm right now, and that's continuing. I just do not see significant improvement yet. I don't see it worsening, and quite honestly, I think that it's going to continue through 2023, and that's what we have in our outlook. 
Richard Maue: Yes, I would just add one thing is that when you look at the sales in the first quarter here, we had a fairly easy comp, if you look at the quarterly sales from the prior year as well. So the 14.8%, we're very happy with, but it was a bit of an easier comp. 
Operator: Our next question comes from the line of Matt Summerville with D.A. Davidson. 
Matt Summerville: With respect to PFT, do we expect an immediate step function move down in Q2 in margins or more of a gradual step down throughout the year? And I guess at the end of the day, what I'm trying to get a feel for is, this is probably the biggest kind of swing factor in the model, if you will, between how these quarters kind of cadence out looking forward. 
 So to the extent, you're able to help talk about earnings seasonality. I realize you're not trying to give quarterly guidance, but is there any way that you can frame this up to better help us think about how these quarters should look for CR going forward? 
Richard Maue: Yes. I would say -- and we typically don't give quarterly guidance, right? But if I was to frame it up, it will be more gradual than a big step change. So you'll see it come down a bit in Q2 and then a little bit from there, but stronger in Q2 relative to the second half, if that helps. 
Matt Summerville: Yes. No, it does. And just sticking with a process for a moment, I was wondering if you could provide a little bit more specific commentary around the key end markets and the relative strength that you're seeing there when you think about the 4% kind of order growth you saw FX-neutral in the quarter? What end markets are really leading that? What geographies? You mentioned a little bit of slowing in Europe and the U.K. Has that business actually turned negative for you guys? Just trying to get a better geographic kind of end market deep dive for PFT? 
Richard Maue: Yes, sure. So maybe I'll give some color here. So I would say MRO continued to be pretty strong through the quarter, I would say, consistent with what we were seeing coming out of the fourth quarter, projects down slightly. I would say, overall tracking to what we had thought coming into the quarter. 
 Compared to last year, if we were to peel that back in the Americas, we were a bit stronger as well as in the Middle East, although that's a bit smaller for us, but Europe down slightly, I would say. And China was a bit weaker in the quarter. But again, I would say nothing overly different or concerning relative to what we expected. 
 We still feel like we're going to have that more modest outlook on MRO, as we move through 2023. As Max just pointed out and some of the color I provided, we didn't see any order cancellations, Matt, or major delays in project activity though in Europe -- to your point, a couple of the key players in Europe continue to look at their cost base and in some cases, are reducing capacity. 
 So it's something that we're watching closely. I would also say that in Europe, it's a largely MRO-driven business at this time for those reasons. So there's not a lot of project activity that we are seeing in Europe. If anything, it's a little bit of increased project activity we should see in the Americas. No significant impact yet from China reopening. 
 Hopefully, we do see some of that as we may close out the year ahead into 2024. And then on the commercial side, our wastewater pumps business here domestically just continuing to see, I think, I would say, solid demand. I think they're performing, from a share perspective, incredibly well. So our growth profile there has been, I would say, notably greater than market. 
 And then in the U.K., I would say more of the same with the building -- commercial building applications and water business where demand just continues to be at pretty depressed levels relative to, say, Q4, so pretty consistent thinking there. 
Operator: [Operator Instructions] Our next question comes from the line of Nathan Jones with Stifel. 
Adam Farley: This is Adam Farley on for Nathan Jones. I wanted to start with inflation. There's volatility in various raw materials in the quarter. I think steel is up and maybe some energy costs are down. So are you seeing inflation accelerate, decelerate or stay about the same? 
Max Mitchell: It's -- we've got some movement up and down. I mean, on average in the quarter, we're probably a year-over-year basis, up around 4%, seeing some favorability in freight and resin in our Engineered Materials business year-over-year, offset with -- probably leading with the electric components, like I mentioned, actives/passives continue to see inflationary pressures there. Some of the metals around steel and aluminum, but about 4% in the quarter. 
Adam Farley: Okay. That's helpful. And then turning to capital deployment. You highlighted very strong ability, I think, $1 billion in 2023, going up to $4 billion 2023 to 2028. Maybe could you describe your M&A funnel of opportunities today? With the separation complete, can we expect an accelerated level of M&A activity in the near term? Are there any macro factors maybe putting a damper on any activity in the near term? 
Max Mitchell: Yes. Thanks, Adam. Thanks for the question. So as I've been saying consistently, through the separation, we put any M&A on hold. We were active in our continued process, but we waited for the separation. So what has increased. Our activity has increased now around moving forward with those deals that are active to conduct due diligence and pursue. So things are active. 
 I would not say necessarily that it's going to lead to action. We're always going to remain disciplined. We're only going to do what makes strategic sense as the proper return on invested capital. I would say that the environment is friendly for us right now with making it more difficult for private equity, some of the other strategics where they're leverages our firepower. 
 In terms of market dynamics, the only thing I would say is that we're watching those that have announced some very large deals and learning from that and watching the market reaction. In some cases, there's been some very negative reactions. So I think that's just helping to make sure we frame up the level of risk that we're willing to take on, but all very positive here. There's a lot of activity, and we're working it hard. But I couldn't say that, that's going to extrapolate quite yet into completed deals, but we'll see. 
Operator: Our next question is a follow-up from the line of Damian Karas with UBS. 
Damian Karas: So I have a follow-up on your comments regarding short-cycle activity. I was wondering if you could maybe just put any numbers around kind of the level of volume declines that you are sort of taking into the guide for this year? And if you could just remind us on sort of the margins kind of on the short cycle versus -- short cycle side of PFT kind of versus the project side? 
Jason Feldman: Yes. From a margin perspective, I wouldn't expect any material difference between them. I don't know that we necessarily want to quantify a degree of sequential decline. I mean, what I'd say is that you can see what our first quarter core growth was relative to guidance for the rest of the year. And most of that kind of sequential deterioration, we would expect this share to be from the short cycle. 
 And on the long cycle side, we're a little more immunized in the near term because of the backlog, right? So you'd see it in the orders first. But on the long cycle side, I don't think we see much slowdown in sales until the tail end of the year and into '24 if that does, in fact, slow down. 
Damian Karas: Okay. Great. And then a follow-up question on capital allocation. Thanks for the color on M&A opportunity. But should deals not materialize in the near future, how are you thinking about kind of pulling some triggers on buyback? 
Max Mitchell: Sure. Great question. I -- it's still too early. We're -- we certainly have a history of share buyback when it makes sense. We will certainly consider other options if that is needed. Right now, we think that there will be some M&A opportunities that we'll be able to deploy, but of course, Damian, we're are going to do the right thing and not to have a lazy balance sheet if it comes to that and pursue those options. 
Operator: Our next question is a follow-up from the line of Matt Summerville with D.A. Davidson. 
Matt Summerville: You mentioned in your prepared remarks, I think it was Max talking about price cost and the impact, the fact that it was not negative on either a dollar or margin basis. I was just wondering maybe for Crane overall, if you could talk about whether or not you actually had price cost positivity on the margin. And maybe on a relative basis, how much that may have driven margin performance in the quarter? 
Richard Maue: Yes. So what I would say, Matt, is -- yes, it was accretive to margins. I wouldn't say it was incrementally accretive relative to how we were performing last year. We had good strong price discipline as we moved through last year. We have targeted price increases that sort of cadence our way through. And we had a couple of more, I would say, that occurred towards the end of the year last year that we benefited from, obviously, coming through the first quarter. So perhaps a little bit more. But I would say on the margin, it's similar to our performance last year. So accretive overall to margins. 
Max Mitchell: Let me add this, Matt, though, that I would like to add on to how to think about this from a historic Crane standpoint. Of course, we've been appropriately offsetting inflation and rightfully so. We're early hard, fast and executed through '21, '22. What has taken place over many years now is our continued evolution at value-based selling and understanding the full value. 
 So as we've continued to develop stronger technology road maps, that are more valued by our customers. We have continued with our Crane Business System to put process around this, to educate our teams on how to price for value. And I would say that we continue to become better and better at seeing that read through. So it's not just price just to offset inflation, it's the mix of product that's changing. 
 It's what we're winning on and it's the pricing levels that we're setting. It's the value that we're getting for our solutions. I just think we've gotten exponentially better. And I think I would say that we -- I have a clear expectation that, that will continue as we move forward for sure. So hopefully, that adds a little bit too. 
Matt Summerville: Yes. Appreciate all that color. And then just to make sure that I have it down correctly, remind me, CR is subject to what kind of potential lockups as we think about strategic actions on noncore businesses? Is there any -- does anything preclude you from buying back stock? I realize I think the company can't be sold for 2 years or something like that. But can you just walk through all those things, so we all have that level set, please? 
Max Mitchell: There's nothing... 
Richard Maue: Yes, there's nothing that -- yes, from -- like you're asking about an approach, Matt? 
Matt Summerville: No. I guess with the spin -- in the tax-free status of the spin, I would imagine there's a 2-year window where things can happen, like I don't think Crane can get sold... 
Max Mitchell: If there were conversations prior, there are some rules that kick in, but we've had no conversations. There's nothing locking us up for any period. There's no constraints that I'm unaware of, Matt. 
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Mitchell for any final comments. 
Max Mitchell: Thank you very much. So a solid start in Q1 and excellent results, life post-separation. We approached our corporate conscious uncoupling with loving care, and we remain deep friends with our NXT counterparts. Our associates are fine and coping well. But now it is time to go our own ways and new directions of value creation. 
 As the late great Burt Bacharach said, "Knowing when to leave maybe the smartest thing anyone can learn." Now post-separation, new Crane is now turning a fresh course and ready to deliver on accelerated growth and enrichment, and our first quarter results are a testament to our progress, while we are also dating again and looking for new partners to join our strategic platforms of Aerospace, Electronics and Process Flow Technologies. I look forward to speaking to you next on our Q2 call in July. Thank you all very much for your interest in Crane. Have a great day. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.